Operator: Good day, ladies and gentlemen, and welcome to the Bridge Investment Group's Third Quarter 2022 Earnings Call and Webcast. [Operator Instructions]. At this time, it is my pleasure to turn the floor over to your host, Bonni Rosen, Head of Shareholder Relations. Bonni, the floor is yours.
Bonni Rosen: Good morning, everyone. Welcome to the Bridge Investment Group Third Quarter 2022 Financial Results Conference Call. Our prepared remarks include comments from our Executive Chairman, Robert Morse; Chief Executive Officer, Jonathan Slager; and Chief Financial Officer, Katie Elsnab. We will hold a Q&A session following the prepared remarks. I'd like to remind you that today's call may include forward-looking statements, which are uncertain and outside of the firm's control and may differ from actual results materially. We do not undertake any duty to update these statements. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our 10-K. During the call, we will also discuss certain non-GAAP financial metrics. The reconciliation of the non-GAAP metrics are provided in the appendix of our supplemental slides. The supplemental materials are accessible on our IR website at ir.bridgeig.com. These slides can be found under the Presentations portion of the site along with the third quarter earnings call of event link. They are also available live during the webcast.  It is now my pleasure to turn the call over to Bob.
Robert Morse: Thank you, Bonnie, and good morning to all. We are pleased to share Bridge's third quarter results with you and our strategy to navigate our investment activities in the current turbulent market conditions. Bridge reported strong results for the third quarter. Distributable earnings per share increased 12% year-over-year to $0.29, driven by the consistent growth in fee-earning AUM and management fee revenue. Fee related earnings to the operating company increased 39% year-over-year to $41.6 million. Gross AUM ended the quarter at $43.8 billion and fee-earning AUM of $16.6 billion at quarter end represents an increase of 37% year-over-year. Katie will provide additional detail on our income statement and balance sheet progression over the quarter.  We achieved strong fundraising results in the third quarter of $1.3 billion and record results of $3.9 billion year-to-date, led by the 2Q final closing of debt strategies for at $2.9 billion, which for Bridge is a record fund raise for a specialized strategy. Notwithstanding that record fund raise, that strategy for is now 80% called, and we continue to find attractive investment opportunities amidst the turbulence of the markets. In addition, in 3Q, we had the final closing of Workforce and Affordable Housing Fund II at $1.74 billion, almost 3x the size of the predecessor fund, and we expect to hold the penultimate closing of Multifamily Fund V in 4Q, which to date is already at a record amount for our Multifamily Fund series. We also had momentum in 3Q from our announced $100 million office joint venture with Grosvenor as well as meaningful flows into net lease income and the third tranche from our inaugural logistics fund from our relationship with Townsend. Many of our funds continue to be ranked in the top quartile by Preqin, which has contributed to our fundraising success. We recognize that in a turbulent market environment, investors are more cautious and have less capital capacity, whether due to the so-called denominator effect or simply a wait-and-see attitude prior to committing capital. That said, the appeal of our investment focus and performance track record provides some insulation. In 3Q, we welcomed 7 new institutional investors into our roster, meaningfully furthered our relationships with key consultants and broadened the global network of investors with which we have a strong and consistent dialogue. My colleagues and I just completed a global capital raising and investor relations trip that included visits to many of our largest international investors and culminated in the announcement of a strategic relationship with KB Asset Management, Korea's largest financial group, the interest in U.S. real estate and the confidence in Bridge as a trusted steward remains high. Diversity of fundraising sources is a meaningful strength for our company. We have a healthy mix of both retail and institutional investors with 35% of new commitments in 3Q from individual investors and 65% from institutions. The high net worth retail segment has always been a strong component for Bridge and per recent Morgan Stanley research is one of the largest growth opportunities for our industry with allocations to alternatives from high net worth investors estimated to double in 5 years. Additionally, our expansion of offices in Luxembourg and South Korea as well as our AIFM license approval in Europe in July, further position us to continue growing capital raising internationally. 43% of commitments in the quarter came from international clients, and we expect more to follow.  I would like to share our firm perspective on current market conditions. High inflation and rising interest rates domestically and a softening economic condition globally have prompted a retrenchment of public equity markets and a difficult environment in which to determine value. In addition, increased geopolitical risks, including the expanded conflict between Russia and Ukraine and economic slowdown in China, economic turbulence in the U.K. and other developments are weighing on the markets.  In this global context, the strength of the U.S. economy, the health of the U.S. consumer across multiple metrics, the reshoring of manufacturing to the U.S. and continued government stimulus in the form of student loan forgiveness, incentives related to the CHIPS Act and Inflation Reduction Act position the U.S. as the preeminent investment destination for many investors globally.  In the near term, however, some investors have taken either a risk-off approach, have stopped investment activity until the end of the year or seem to be waiting for expected distress to materialize. We have seen the impact of these factors in our markets with low transaction volumes even in real estate sectors whose fundamentals remain strong.  Longer term, we believe U.S. real estate alternatives offer investors resilience, recession-resistant downside protection, durable inflation-protected yield and the potential for meaningful capital appreciation. We believe that Bridge is well positioned in the current higher interest rate environment due to enhanced capabilities of our specialized investment teams and high-touch forward integration into asset and property management. Going forward, we expect the value of our vertically integrated business model to amplify our outperformance.  In the last decade, the levers to generating value in real estate were several: one, finding the right asset in the right location; 2, paying a disciplined price; 3, leveraging the asset with low-cost cash flow enhancing debt; and 4, optimizing asset performance through efficient property management. Our national footprint, data-driven and differentiated knowledge of markets and focused investment approach generates enormous deal flow, price discipline and allows Bridge to buy well. Leverage has diminished considerably as a value driver and in many cases, is now neutral to negative. Well-run property management, which has always been a focus at Bridge allows us to add alpha at the asset level. We've built the Bridge Property Management Function, specialized across asset classes since the inception of our company, and we keep getting better and more efficient every year.  We have also built other pillars for long-term growth within our organization. We've stood up an experienced logistics team and have deployed over $1.2 billion of gross capital from a standing start, acquired an integrated single-family rental program, which has built a strong portfolio of over 3,300 homes, have built a strong opportunity zone development business, which is one of the largest in the industry and have a growing net lease income vehicle. This is all in addition to our new initiatives announced during the quarter, Solar Infrastructure and PropTech. While there are clearly challenges ahead, we're in a strong position from a capital and balance sheet perspective with $191 million of cash liquidity and an expanded credit facility of $125 million, along with significant dry powder.  With that, let me turn the call over to Jonathan to further detail our results and strategy.
Jonathan Slager: Thank you, Bob, and good morning, everyone. Bridge delivered a strong quarter with solid fundraising and AUM growth. In addition, the fund assets continue to perform and the majority of the asset level debt is either fixed, hedged or partially hedged, which helps us insulate from the continued interest rate increases. Further, these hedges have appreciated over $128 million during the past 6 months, providing additional portfolio value. We also had another quarter of meaningful realized performance fees at $22.3 million. This was driven mostly by Multifamily Fund III, which is in year 7 of an anticipated 8-year term. While we will continue to see some selective monetization, given current illiquidity and high interest rates, we will choose to limit the pace of realizations for the near term to avoid selling well-performing assets below what we believe is their fair value. The strength of our lender relationships, combined with generally cautious leverage levels put us in a solid position to hold and continue to operate our assets, while the debt markets and transaction volumes recover.  As Bob mentioned, Bridge believes that it is in times like these that our management capabilities will further distinguish us. The slowdown in commercial real estate transactions we noted last quarter continues to persist as the debt capital markets remain volatile and less liquid. In an environment like this, buyers, sellers and lenders pause and deal volumes slow until people find their footing. August volumes were down 50% year-over-year and September was down a similar amount. This is reflected in the decrease of our transaction revenue from $17.6 million in the second quarter to $11.5 million in the third quarter. While we project the transaction volumes will ultimately recover, we remain cautious on the level of our transaction revenue until market uncertainty diminishes. Despite this, we were able to deploy $633 million in the quarter into select assets across all of our strategies. We continue to see healthy fundamentals in most of our specialized strategies. And in many cases, we have significant dry powder in our funds.  Across the firm, we have $3.9 billion to deploy in what is evolving as a buyer's market. While liquidity in the debt markets has created a dramatic slowdown in transaction volume, it is also beginning to present meaningful opportunities to acquire high-quality assets at distressed pricing. Bridge is well positioned to benefit from this unique opportunity, either by providing rescue capital or fast and reliable liquidity to those who may need a solution. We expect the need for such solutions will become more acute in the coming months, offering opportunities to invest in great assets with broken capital structures at meaningful returns. We took advantage of this during the pandemic-related market dislocation in 2020 and have already capitalized on similar opportunities within our debt strategies fund as we have seen investment-grade public securities yields gap out to attractive levels not seen since the global financial crisis. We believe there could be more motivated selling in the near term and have positioned our teams and funds to be nimble.  As Bob mentioned, subsequent to quarter end, we called 80% of the Debt Strategies Fund IV, less than 2 years into a 4-year deployment window. Q2 to date, we have already invested about $1 billion in principal amount in real estate-backed CLOs with . To summarize, while we recognize the negative impact of near-term illiquidity in the market, Bridge believes its unique operating platform and capabilities, combined with significant dry powder, position our business to capitalize on the uncertainty that lies ahead. Over to you, Katie.
Katherine Elsnab: Thanks, Jonathan, and good morning, everyone. We had another solid quarter in Q3. This was led by strong margins and realizations. Our GAAP net income to the operating company was $32.2 million. Our GAAP earnings per share was $0.17. Our recurring fund management fees continued their consistent growth. This metric provides our investors with a true perspective on the underlying growth and stability of our business. Recurring fund management fees grew to $51.4 million. This is an increase of $11.6 million and a 29% increase compared to prior year. Our 5-year CAGR is 35%. This outstanding growth has been driven by the scaling of existing strategies and expansion into new verticals. In this more volatile macro environment, our business has proven to be durable and resilient. Our management fees are long duration in nature. The capital raise during the current quarter has an average tenure of 10 years. The average tenure of all of our fee-earning AUM is 7.9 years. Our commitments are largely in closed-end vehicles with no redemption features.  Fund management fees are based upon either committed or invested capital from our limited partners. As such, our management fees are insulated against market volatility. For your reference, our non-GAAP financial metrics are found on Slide 4 of the investor presentation. Fee-earning AUM continued on its trajectory of strong double-digit growth, up 37% year-over-year to $16.6 billion and an increase of 7% from last quarter.  Total fund level fee revenue for the third quarter increased 21% year-over-year to $75.6 million. This was primarily due to a 58% increase in the fund management fees on the higher fee-earning AUM. Our fund level fee revenue also includes $12.7 million in catch-up management fees that were elevated due to the final closing of workforce and Affordable Housing Fund II and the material closing in Multifamily Fund V. We will see a step down in Q4 of catch-up fees with less meaningful amounts in 2023 as the timing of newer launch funds ramp up. Our [indiscernible] level fee revenue is partially offset by lower transaction volume. As Jonathan discussed, transaction revenue in the near term will continue to be impacted by the lower volumes that we're seeing in the broader real estate market. This could have an effect on our margins in the short term. Total fee-related revenues grew by 23% over last year to end the quarter at $86.1 million.  This growth was driven by continued strong fundraising, fee-earning AUM growth and our vertically integrated strategy. All of these contribute meaningfully to our margins. Total fee-related earnings to the operating company increased 39% year-over-year to $41.6 million. Our FRE margin was a healthy 52%. Pretax distributable earnings to the operating company for the quarter was $49.8 million, up 17% compared to a year ago.  Our after-tax distributable earnings per share increased 12% to $0.29. This was driven by our strong fee-earning AUM growth and the related fee related earnings and realizations in Multifamily Fund III. With that, Bridge declared a dividend of $0.27 per share. This is in line with our goal to distribute substantially all of our distributable earnings to our shareholders. Our dividend will be paid on December 16, 2022.  Moving to investment performance. We are proud of the value that has been created through our focus on value-add assets in high-growth markets. Realized performance and incentive fees were $22.3 million for the third quarter. The performance fees were driven primarily by realizations in the Multifamily vertical. Unrealized carry decreased by $16.4 million. This was largely due to $19.8 million of realizations within the quarter in the Multifamily vertical. This brings the unrealized carried interest on the balance sheet to $559.2 million.  As previously announced, we issued $150 million of senior notes at a weighted average interest rate of 5.05% and duration of 11 years in July. In addition, we refinanced our senior secured revolving credit facility, increasing it from $75 million to $125 million with an accordion feature for another $100 million. We are pleased with the timing in terms of our new debt and believe that it provides us with additional liquidity and financial flexibility in the current market. Finally, as Jonathan discussed, having a significant amount of dry powder should be highly advantageous as we navigate future volatility. Not only do we have dry powder in our funds, but our corporate balance sheet is in a strong position. This will enable us to have the flexibility to participate in the continued consolidation of the highly fragmented alternative asset management sector.  With that, I want to thank everyone for their time today, and I will turn the call back to the operator so that we can take your questions.
Operator: [Operator Instructions]. And our first question comes from Michael Cyprys from Morgan Stanley.
Michael Cyprys: Maybe you could start off talking a little bit about some of the distressed commentary you guys were alluding to. I think you mentioned that there would be an opportunity to acquire more high-quality assets at distressed prices. Maybe you could expand upon how that played out in the quarter? It seemed like in your debt strategies, you leaned in on deployment there? So maybe you could expand upon that. And as you look forward, what sort of catalyst do you see that could result in more distressed or forced selling? And what types of assets might you expect to see just in terms of what sort of compelling opportunities might result? And what does this mean in terms of implications for fundraising on the debt strategy side? Might you be back in the market anytime soon?
Robert Morse: Yes. Michael, and all, and thank you for being on our call. if there's any background noise when I'm speaking -- its Bob Morse more speaking, if there's any background noise that I'm speaking, it's because I'm in the Stockholm airport in the middle of a continuation of our capital raising. And I apologize for the background noise, but it's been a really productive set of meetings.  Your question about distress, Michael, is very much on point. We are -- we have seen the stress manifest in the fixed income markets. As Jonathan mentioned, we've executed on some of that with respect to publicly traded CMBS and commercial real estate backed CLO investment-grade tranches. We did that really in an opportunistic way, buying small positions that are offered by motivated sellers in an environment with a lack of liquidity and achieving what we think are very attractive yields in the markets, and we take a great deal of comfort in the ability to carefully analyze the collateral packages underlying these securitizations to ensure that the subordination is safe and secure in those. We see that market continuing. I think equally and maybe even more exciting is we anticipate the ability to buy or help correct flawed capital structures in the equity markets for real estate over the course of 2023. We don't -- we have not yet seen a meaningful amount of that opportunity materialize, but we want to be prepared to do that. We have a significant amount of dry powder in our funds. We have a significant amount of interest outside of our funds to participate in that as well, as and when those opportunities materialize.  The question related to the implications for fundraising for our next debt strategies vehicle are that we're currently about 80% called in that -- in Fund IV, when we're 75% called, we can premarket a new vehicle, when we're 90% called, we can have a first closing. So we have modestly accelerated the anticipated launch of that strategies Fund V. I would reiterate that, that strategies Fund IV was a record capital raise and we've been able to deploy that capital very selectively but very efficiently. And I think we've generated a great deal of enthusiasm and support for our overall activities in the fixed income markets. So we're pretty excited about that. Jonathan, anything you'd like to add from the equity side?
Jonathan Slager: No, we are -- even though it's just beginning, as Bob alluded to, we haven't seen a significant amount of activity yet. We have seen some. We've actually started to get involved in kind of trying to rescue some transactions and restructure some transactions, keep them in order to get them done.  We're seeing the dislocation, particularly from single sponsors that raised equity kind of through friends and family and their own capabilities and then co-invest with some institutions that they don't have the capital strength to deal with the fact that their debt service has gone up by like 3x, and they tend to lever pretty heavily to try to get things done.  So we're starting to see some opportunity. The underlying real estate is actually extremely solid and well performing in the most cases, but the capital stack is a real challenge. And so we think it's going to create more opportunities, and we're extremely well positioned because we have relationships with all the other sponsors with the brokerage market and with the debt market.  So we're just staying nimble. We're staying poised and hopefully, we're going to see some attractive deployment that comes from that regular way deployment, as was alluded to, is just not going to be as active until the debt markets settle and that's not something that Bridge controls or any of our peers control. So in the meantime, less leverage, but being prepared to respond to opportunities. So we'll see.
Michael Cyprys: Great. And just as a follow-up question, if I could. Maybe you could just elaborate a little bit around the interest rate exposure that you have in your existing portfolio assets. I think you mentioned a large portion are fixed or hedged, but maybe you can help quantify what that is versus how much is actually floating and how you think about managing that? And on the hedges, what's the duration and what happens when those roll off?
Robert Morse: Yes. And great question. It's -- I feel like what I've spent most of the last month securing. And I think across all of our funds, -- we have a very clear view into securing all of that. And as I mentioned, the hedges have actually turned into an asset that has value across our portfolio. Not that we're unique in that. But again, looking forward, we basically made sure every single one of our vertical investment funds is rock-solid from the perspective of liquidity. The specific allocation percentage. I mean, we really have almost nothing across our portfolio. What is our overall number, if you know, Katie, that's unhedged? There's not very much that's unhedged. And either we have a cap or we have a swap or it's fixed already. So...
Katherine Elsnab: It's about 20% [indiscernible]. And that's across all verticals.
Robert Morse: So -- but -- and I would tell you right now that, that 20% is being hedged. It's in the process of getting hedged because we really don't need to take that kind of exposure for our LPs. So our main thing is making sure that liquidity is sound, and I feel really good about that. And I think, candidly, given the cost of leverage now that de-levering in many cases is actually constructive to cash flow and constructive to de-risking portfolio. So we're taking a lower leverage approach across most of our strategies today and constructively restructuring leverage everywhere. The strength of our lender relationships and the fact that we have an internal debt team really becomes a differentiator in times like this.
Operator: And our next question comes from Bill Katz from Credit Suisse.
William Katz: First question, just trying to sort of think through the sort of counterbalance between signals for a pickup of recovery versus the signals for pickup in the distressed opportunity. So when we think about that, could you help me understand how we should think about the deceleration of transaction fees, what we should look for, for an improvement? And then conversely, what might it take for to see a faster deployment of capital to take advantage of some of this restructuring that you mentioned?
Jonathan Slager: Do you want me to do that, Bob?
Robert Morse: Sure, Jonathan. Why don't you start, and I may add something.
Jonathan Slager: Sure. That's great. Yes. So we think -- I think it's been kind of clearly outlined in the very short term. We've been able to take advantage of it in the debt strategies side of the business. The deployment acceleration has been pretty massive, as you heard. We're well ahead of deployment pace really on the strength of being able to take advantage of that dislocation. So very excited about that and actively working on kind of more capital in order to take advantage of what we think is a short-term dislocation in the debt capital markets. But short term, when you want me to define short term, I'm not very good at that. So months, I don't know. But we're not expecting it to be years, certainly. And so I think we want to be nimble and be able to respond to that, which we are and have been, and that accelerates some deployment there. In terms of the equity side of the business, I think there's still just sort of a little bit of a lag, if you want to call it that, where regular way transactions have really slowed because the bid-ask spread is kind of there where sellers are still trying to adjust to the fact that they're not getting the kinds of numbers that they would have been getting 6, 9 months ago or a year ago and trying to decide if there's still a viable trade to be done or not. And candidly, again, the lower leverage regime reduces the number of players that can participate in that as well. So we're actually, in some ways, excited because we're able to be really selective and still find things. We're just finding them at a slower pace in the regular-way market.  I don't know how long that condition will last. But again, as that's happening, we're just really beginning to start seeing opportunities that reflects the challenges in people's capital stacks in the overall debt and equity stack. And so how big that becomes and how quickly that becomes an accelerant to our deployment is, again, very difficult for anyone to predict. And so all you can do is what we're doing, which is try to be prepared and be active and be proactive in that search and time will tell. So I hope that's a solid answer. And Bob, I don't know what you would add.
Robert Morse: Nothing to add from my side.
William Katz: Very comprehensive. Just thinking through the P&L dynamics a little bit. So do you have any experience of like where transactions might fall to in sort of prior cycles? Obviously, every cycle is a little different. You haven't been public that long. And then relatedly, on the fee-related expense side, how should we think about third quarter both comp and non comp levels? Is there opportunity here to ratchet down the expenses? Or is there more of an upward bias just given what seems to be an ongoing wage and inflation and investment?
Katherine Elsnab: Of course. And so if we think about cash compensation -- during the quarter, we had an increase of a couple of million, part of that due to -- there was a $1 million swing in bonuses that were previously deemed not probable that were deemed probable in the current quarter. And then we did have some additional hiring during Q3, primarily just due to the challenges I think everyone has experienced in hiring. With that, as we think forward about how compensation will look at Q4 and beyond, really, I think compensation is driven by overall performance of the company and so headcount increases as well as variable comp will be adjusted accordingly based upon performance. If we think about the net administrative expenses, really -- that's really a component of our fee-related earnings and our fee related growth. And in this environment, it's an area where we're actively managing costs and being strategic with where we spend our money to make sure we're efficient.
Jonathan Slager: Yes. And I think net-net, Bill, we have -- a big component of our comp is in the bonus line. That is a variable comp component. And the -- historically, we've been able to kind of lag sometimes between kind of if you look at our AUM growth, our fee paying AUM growth and all of that, we grow bigger funds, as you've seen, like workforces more than double the prior workforce.  So if that -- now we need to add some capacity to kind of deploy and manage those -- that capital. So we've been fortunate that usually the capitals come -- the revenues come first and the certainty of that. But then next year, we don't get like catch-up fees as much, but we grow headcount. So there's a little disconnect in timing. But I think overall, the other thing that you could see about Bridge, which I think is a really strong signal for the long-term strength of Bridge is the growth of all these new initiatives, which are really compelling.  The opportunity that we have in solar, the opportunity that we still have ahead of us in logistics and the amount of growth and scale that we have in that business. These are all really just beginning to start to reveal themselves in our success and our growth and are all organic. And then, of course, there's inorganic opportunities that can come as well. So yes, the timing though, I think we've always tried to signal the people don't kind of measure our margins on a quarterly basis because they can be up or down. Try to think about them on more of a kind of a 12-month kind of cycle. And I think that's the guidance we continue to give is that our expectation is that our margins over time will be plus/minus in the 50% range based on the business as we know it today. But on a quarter-by-quarter basis, it can be much higher as you've seen and experienced and sometimes lower. So we really -- a lot of that has to do with the timing of when we have catch-up fees and fund closings, the timing of when we have deployment in our verticals. So I think right now, that's probably what I would continue to guide.
Operator: And our next question comes from Ken Worthington from JPMorgan.
Kenneth Worthington: I want to follow up on your comments for the outlook for realizations to slow. Can you help us with sort of the magnitude of slowdown that you're thinking about? And is the slowdown in realizations expected to be proportional across your different investing segments? Or is it likely to be concentrated in 1, 2, 3 or 4 areas?
Jonathan Slager: So I'm not sure Bob's rejoined, but now assuming that he has or hasn't, I will begin the response to that question. I mean I think specifically, you know that we have cycles to our closed-end funds, right? So they are -- they get into realization in harvest mode towards the last couple of years of their life cycle. So specifically, a number of our funds aren't even really in the meat of the harvest period.  And so -- and given that we have European waterfall, that means that our -- you can see on our balance sheet what we see coming, the timing of when we see that coming is really related to thinking about the last couple of years of the life cycle funds. So specifically, that means that at this stage, the only fund that has meaningful realizations anyway is Multi III, -- we've done a significant amount of that realization, but we still have some nice realizations coming.  And I would say the timing for those realizations is a little bit unpredictable right now because as we've said, we are not going to be selling assets just to clear them out. And that's why our closed-end fund strategies, we have the ability to extend the final end of the fund by -- I think we have 2 1-year periods, for example, in Fund III. And I think we've exercised one of them to give us flexibility.  So again, when I say it's unpredictable, it's because we have unsolicited off-market approaches on a continual basis. And if we find those to be attractive enough to transact as well. I think in terms of individual assets going into a broad marketing process, this just isn't really the time for that kind of thing for now, and it may change in Q1. It may change in Q2. It may take until the back half of next year until it changes. So I think in terms of what we had planned or scheduled, there will still be some limited monetization, but it will be a much slower pace for the next couple of quarters is what I would expect. And then I think then we'll start to see that come back.
Kenneth Worthington: Okay. Perfect. And then you have a bit more than, I think, a half dozen funds in market fundraising right now. Where are you seeing demand sort of fall off? And where is it holding steady or picking up -- and then just remind us of the new funds that may commence fundraising in the next, say, 2 quarters or so?
Robert Morse: We do have a number of funds that either are in the marketplace or will be in the marketplace next year. A global comment would be that we believe that our specialized strategies are pretty highly curated to invest in areas with some significant tailwinds of interest. We're finalizing the fundraising for Multifamily Fund V that will have its penultimate closing in December and final closing in January of next year.  We continue to raise money in our Single-Family for rent vertical, and that fundraising is showing a great deal of interest. We have 2 open-ended funds, which are yield oriented, both attractive in today's market, our AMBS fund as well as our net lease income fund. Those are open-ended funds. And so they're available on an ongoing basis to investors. We're seeing some meaningful inflows into both of those funds.  We are launching our second logistics value-add fund, and we have launched and we expect a closing in the first half of next year for that fund. That comes on the back of the $1.2 billion of gross AUM that we deployed since we stood up that team for logistics value-add Fund I. We are launching our -- we anticipate launching the fourth iteration of our Seniors Housing Fund and the third iteration of our Office Fund in 2023. It's a long list of funds. We are out actively marketing our Solar Development Fund to great effect and we have launched our PropTech Fund. That's a relatively small fund, but it's meant to build off the considerable success we've had investing our own capital in the PropTech space from the lens of an owner operator of real estate. And although that's a small fund, we think it's important from both an offensive and defensive perspective in terms of staying current and embracing technologies, PropTech technologies that will, in fact, can make a difference in how we operate our businesses, how we operate our assets, how we navigate through the documentation and zoning and other aspects that PropTech is oriented towards. So a relatively broad list of funds. In terms of interest, I did say in the earlier remarks that we -- that investors -- some investors have demonstrated a bit of caution or wait-and-see attitude. Candidly, that is a product of which investor you're talking to and what you're talking about. I must say our experience from the capital raising perspective as it relates to the recently closed Workforce Fund and the Solar Development fund is that impact vehicles with ESP characteristics, whether it be renewable energy, whether it be the servicing of underserved workforce communities show a great deal of resilience in -- at least in our experience in this market environment and in all market environments. So that's been a positive.  The locus of investors matters as well. We have a strong component of Middle Eastern oriented investors and high oil presses have created a lot of liquidity in the Middle East. And so we anticipate continued meaningful capital inflows from the Middle East. We announced a broad-ranging strategic partnership with KB Asset Management in Korea, and we've been very successful in assisting valued Korean investors to fill their allocations of U.S. exposure. We do think that the U.S. represents in many people's eyes, not just our own, by any means, a preeminent investment destination. And so that is often sufficient to maybe overcome the current market turmoil, our perspective, which is shared by a lot of the investors with whom we speak on a regular basis is that 2023 as a vintage should be a pretty good vintage, lower entry prices, that are contracted for in a higher interest rate environment. And so a lot of upside. The last comment I'll make is we feel fortunate in some of our vehicles that we don't have a big legacy asset portfolio to deal with. And it's curious how it used to be that having a prespecified portfolio was a positive marketing element and now having a track record, have an experienced team, but starting from scratch and building a portfolio at the newly arrived at pricing level, I think, is considered an advantage in a lot of respects, and our funds are -- happen to be positioned, the newly launched funds happen to be positioned in that capacity. Sorry for the long answer, but we have a lot of things that we're trying to accomplish.
Operator: And that appears to be the last question of the day. I would now like to turn the call back to Robert Morse for any closing remarks.
Robert Morse: Thank you. Thank you, operator, for helping us on the call, and thank you to all who participated in that call. We're [indiscernible] excited about where we find ourselves in the marketplace today, a meaningful amount of dry powder, a lot of opportunity, a great deal of dialogue and we look forward to continuing to navigate through this market and create great opportunities for our investors and hopefully, for our shareholders. Thank you.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.